Unidentified Participant: This presentation and comments made in the associated conference call today may include forward-looking statements. Forward-looking statements include information concerning future results of our operations, expenses, earnings, liquidity, cash flow and capital expenditures, industry or market conditions, AUM, acquisitions, debt and our ability to obtain additional financing or make payments, regulatory developments, demand for and pricing of our products, and other aspects of our business or general economic conditions. In addition, words such as believes, expects, anticipates, intends, plans, estimates, projects and future or conditional verbs such as will, may, could, should, and would as well as any other statement that necessarily depends on future events, are intended to identify forward-looking statements. Forward-looking statements are not guarantees and they involve risks, uncertainties and assumptions. There can be no assurance that actual results will not differ materially from our expectations. We caution investors not to rely unduly on any forward-looking statements and urge you to carefully consider the risks described in our most recent Form 10-K and subsequent Forms 10-Q filed with the Securities and Exchange Commission. You may obtain these reports from the SEC’s Web site at www.sec.gov. We expressly disclaim any obligation to update the information in any public disclosure if any forward-looking statement later turns out to be inaccurate.
Operator: Welcome to Invesco’s second quarter results conference call. All participants will be in a listen-only mode until the question-and-answer session. (Operator instructions) Today’s conference is being recorded, if you any objections, you may disconnect at this time. Now, I would like to turn the call over to the speakers for today, Mr. Martin L. Flanagan, President and CEO of Invesco; and Mr. Loren Starr, Chief Financial Officer. Mr. Flanagan, you may begin.
Martin Flanagan: Thank you very much, and thank you everybody for joining us today. We’ll be speaking to the presentation that’s available on our Web site, if you’re still inclined to follow. Also as you know, we scheduled an Investor Day presentation later this afternoon, where we’ll go into much greater detail regarding the impact of recent acquisition, but for this call we’ll provide a review of the business results, a brief update on the combination with Morgan Stanley’s retail business, then Loren will go into financial detail, and then as always we’ll go into Q&A. So those that are so inclined to follow, I’m on slide #3 right now. In spite, of continued volatility in the markets, Invesco’s commitment to investment excellence continued to yield strong long-term investment performance for our clients. Investment performance across the enterprise remained very strong in the second quarter with some areas with just exceptional performance. Our strong investment performance supported a continued trend of positive long-term net flows for the firm. As you know, on June 1, the acquisition of Morgan Stanley’s retail asset management business, which included Van Kampen Investments. This marked a key milestone for our long-term success as a company. One month after the close, we’re seeing strong momentum in the combined business, and as we announced last quarter based on more detailed analysis and understanding of the business, the synergies will be meaningfully stronger than our initial expectations. We’ll provide an update on the benefits we’re seeing from the acquisition later in this discussion this morning. So moving out to the second quarter results; assets under management ended the quarter at $557 billion under management, and this reflects the combined organization. Adjusted operating income for the second quarter was $188.7 million. That was a 3.1% increase as compared to the first quarter, and long-term net flows for the quarter were $13.9 billion continuing the positive trend we’ve demonstrated over the past several quarters. And during the quarter, there’ll be a second quarter dividend of $0.11 per share. This is consistent with the first quarter dividend and represents a 7.3% increase over the dividend from the fourth quarter of 2009. And again as I mentioned, Loren is going to go into much greater detail of the financial results in just a minute. If you take a look at the quarterly flows starting on slide #5, what you’ll note is strength in the second quarter gross sales particularly in the passive channel which led to continued momentum of our long-term flows. And as I mentioned earlier, our long-term net flows for the quarter were $13.9 billion. This represents the sixth consecutive quarter of positive flows for Invesco. And on slide #6, you’ll note the strong gross sales across the institutional channel contributed to the positive flows for Invesco overall during the quarter. We also saw positive flows in our private wealth management business, which has experienced consistent aspect growth in each quarter over the past three years. And if you take a look at the investment performance, it’s one of the key reasons for the enhanced ability of our flows. It’s again as always driven by consistent good long-term performance. If you look at the firm as a whole, 75% of the assets under management were ahead of peers on a three-year basis at the end of this quarter. This is a significant improvement from 69% of assets ahead of peers on a three-year basis at the end of last year. We also saw a strong improvement in performance over the one year period, now 68% of the assets in the top half are peer group versus 44% during the first quarter, and as always you’ll find the detailed charts in the appendix. But let me take a moment to highlight some of the investment performance across the firm. As I mentioned earlier, we saw strong performance across the enterprise with pockets of exceptional performance. If you start with Invesco Perpetual, it continued to have outstanding performance with 91% and 95% of their assets under management in the top half of peers over three and five years. With the addition of Van Kampen the U.S. value franchise’s results are stellar performance with 92% of the assets in the top half of the peer group over three and five-year period. Our global fixed income capability continues to achieve strong outstanding performance with 95% of the assets in the top half of peers on a one-year basis and 80% of the assets in the top half over years three and five, and our Morningstar ratings continue to be near the highest level since October of the year 2000. So, all-in-all strong performance across the enterprise. We’ll go into much greater detail regarding the positive impact of the acquisition on our business at the Investor Day meeting later today as I mentioned. But for now let’s spend a few minutes on a brief update of that business. We’re pleased to report the businesses were fully integrated with minimal transition issues and more importantly the work done in the months leading up to the close ensured that we are ready to deliver for clients on day one. That was our goal and that actually happened. This was also supported by an intensive pre-close training effort for our U.S. sales force, so they could engage with clients immediately after the close to help them understand the added value of the combined organization, and our increased relevance as a top 10 investment manager in this channel is enhancing Invesco’s profile in the marketplace and helping gain greater access to top platforms, which obviously in time will drive new business. So the work to refine and enhance the product lineup is on schedule. And as I mentioned we will go into much greater detail this afternoon, but some of the points I’d like to highlight. Our focus now is very much on delivering the tremendous value of the combined organizations to our clients, the combined investment teams were fully resourced at close to ensure they remain focused on delivering the strong investment performance that they have, and we’ve organized the combined sales team to provide broad deep coverage in key growth channels, and of course to our top clients, and we transitioned clients of the acquired business on to our global operating platform with minimal disruption and our transfer agency operations began supporting fund shareholders on first day after close. So our goal over the past several months has been to ensure we are well positioned to begin delivering the tremendous value of the combined organization to our clients and shareholders, and continue the momentum that we had prior to the transaction. So obviously, tremendous work has been done, but most importantly, this is what will drive momentum of the combined business going forward. Yes, I would like to focus on the next steps remaining to get to sort of a steady state operation. We are very focused on sharpening our offering to the clients, work continues on phase 2 as we are referring to it as, and that’s really refining our product lineup. We anticipate this process which includes seeking approvals from the fund boards and shareholders will take nine to 12 months after the close, but we are very much on track to accomplish that. So, we’re very excited about the combination of the businesses. We see this as a great opportunity to even further enhance our ability to meet our clients’ needs, and as always, we’re primarily focused on delivering consistent good long-term investment performance to our clients and the complementary nature of the shared commitment to investment excellence is very apparent already within the organization. So, we feel very good about the investment teams going forward. The acquisition will expand the depth and breadth of our investment strategies providing Invesco with even greater more comprehensive range of investment capabilities we can offer our clients, and we feel the combined business enhances our ability to deliver meaningful solutions to our clients and better position the firm for long-term success. So with that as a backdrop, I am going to turn it over to Loren, who’ll talk in more depth about the results and we then we’ll go to questions.
Loren Starr: Thanks, Marty. So going to the next slide, page #15, you’ll see that during the quarter, our net flows provided $13 billion in assets under management, and the Morgan Stanley/Van Kampen acquisition added $114.6 billion on June 1. These increases in assets under management were partially offset by a negative markets and foreign exchange impacts. The net increase in AUM was $100 billion, however, quarter-over-quarter. We should point out that the net long-tem inflow of $13.9 billion was largely driven by a $15.8 billion lower fee international equity passive mandates which was sourced by the Morgan Stanley Japanese team that came over on June 1. So we ended the quarter with $557.7 billion in assets under management, that’s up 21.8% since the end of March and average AUM for the quarter increased 6.9% to $480.5 billion. Now you’ll also see at the bottom of the page, our net revenue yield in Q2 increased by 0.6 basis points and this was primarily a result of strong UIT revenues during the month of June and also an increase in performance fees. Now let’s turn to the next page for the operating results. You’ll see that net revenues increased $44.6 million or 8.2% quarter-over-quarter and the acquired business added $48 million to net revenues for the quarter, but that was offset by $5.5 million from unfavorable foreign exchange rates. Drilling a little bit further down on this, you’ll see that investment management fees increased by 5.7%, $35.4 million, that was driven by $36.3 million, which was contributed by the acquired business. Service and distribution revenues increased quarter-over-quarter by $26.9 million, about 24% and again, this is really due to the acquisition which contributed $25.2 million for the quarter. Performance fees came in a little bit higher than the first quarter at $3.5 million and that was due to fees earned by our real estate group. Other revenues increased by $5.1 million to $16.4 million, and as I mentioned, the acquisition contributed $5.5 million related to new UIT issuance in the months of June. It was very good month for UITs. Third-party distribution, service and advisory spends increased by $24.9 million. The acquisition contributed $19 million to the increase. The remainder of that is largely explained by new product launches and somewhat higher average assets under management in Europe. Moving on down the slide, you’ll see that adjusted operating expenses of $400.3 million increased quarter-over-quarter by $38.9 million or 10.8%. The acquisition added $29.4 million for the quarter, while foreign exchange reduced operating expenses by $3.9 million when compared to the first quarter. Employee compensation increased by $26 million or 11.1% versus the first quarter. The acquisition added $16.2 million as 580 new staff joined the company on June 1. Additionally, the second quarter reflected a full three months worth of expense for share-based and deferred cash compensation that was granted at the end of February of this year. This resulted in a $6 million increase quarter-over-quarter. Furthermore, we recognized about $5 million of severance cost in Q2, and that was related to the reorganization and continued upgrading of our U.S. institutional sales force. Marketing expense increased $7.1 million, 25% that was largely due to the acquired business which contribute to about $6 million of this. Property, office and technology increase by 2.3%, again largely driven by the new business. The acquired business added $3 million. G&A expenses came in at $48.3 million in the quarter, up $3.5 million and the acquired business added $4.3 million. Just going down the page a little bit further, you’ll see equity in earnings of unconsolidated affiliates increased by $3.8 million from the first quarter to $4.3 million. This is a result of some gains that were taken in some of our private equity partnership equity and equity interest. The effective tax rates on pre-tax adjusted cash net income for the quarter was 29.3% versus 28.7% in prior quarter. I should note that for the second half of 2010, we expect that our effective tax rate on an adjusted basis or comparable basis, that’s what I have been talking about, will be about 28%, although, it will be somewhat lower in Q3 and somewhat higher in Q4 due to the impact of FIN 48. So finishing on this page, we saw that adjusted cash EPS came in at $0.27 and the operating margin was 32%. Just to go to next page and talk a little bit about some more deal metrics. We’ve updated the deal accretion guidance to $0.22 per share in year one and $0.24 per share in year two, and this is due to the net benefit related to the differences and tax amortization of goodwill and indefinite-lived intangibles versus accounting amortization. The benefits it creates about $4 million per year or about $0.01 per share. We are confirming that we have about $5 billion expectations of outflow in year one related to the businesses coming together and we also believe that net cost synergy in year one is still around $80 million to $85 million and $90 to $95 million in year two. I should point out, however, that these cost synergies are net numbers. We have some planned new investments included within these numbers of about $15 million annually, which is an amount largely tied to additional marketing expenses. Finally on the page, we provide some further detail on our U.S. GAAP intangible amortization for those who want to model it. Moving to the final slide, I just wanted to provide a reconciliation to you regarding our original set of run rates financials to the acquired business with the actual results that we’ve received from one month of earnings, I disclosed in the press release. You may remember on September 30 of last year, we provided some high-level information to you that reflected our modeling for the revenues and the expenses of the business that was being carved out and acquired. At that time, the business had $119 million in AUM, a run rate adjusted operating margin of 32%, and a net revenue yield of 40 basis points. Now that’s the column of numbers on the page. If you fast-forward nine months later, you’ll see that the one month of June actual annualized shows $114.6 billion of AUM with an adjusted operating margin of 39% and a net revenue yield of 50.3 basis points. So I wanted to make sure we reconcile these two views for you, and the September 30, 2009 run rate P&L we netted at certain operating expenses, specifically related to revenue-sharing and fund accounting against their associated revenues. However, our accounting standard dictate that these expenses and revenues be grossed up for investors’ income statement, and so that added $80 million to revenues and $80 million to expenses, of course with no impact to net income. This does, however, have an impact of increasing our net revenue yield of the acquired business by 6.7 basis points. Next introducing the net cost synergies amounts of $80 million to $85 million against the September 30, 2009 P&L. You’ll see a view of the business that operates on an adjusted net operating margin of 42% to 43% and a net revenue yield of 46.7 basis points. Comparing this to the annualized one-month results I believe confirms that we’re on track to achieve our expected financial results. June seems to be yielding a somewhat higher net revenue yield, about 3.5 basis points or $20 million more per year. That’s a result we believe of the very successful months for the UIT business, which generated as I mentioned about $5.5 million in other revenues, but also somewhat higher B share revenue stream that we had originally modeled. The annualized June operating expenses were about $30 million greater than what the September 30 P&L after synergies would forecast, and this difference however is in line with our expectations. To state the obvious there’s some noise around one month of data to annualize and it’s tricky, but also some of the synergies have not been fully realized in the first month of operation. So overall, I hope this shows you that we’re on track. I should point out however that going forward, we’re going to be operating this business as one unit, and as a result we won’t be able to provide meaningful or reliable P&L data on Invesco and the Van Kampen Morgan Stanley business separated from each other. So, I’m done, and Marty, I’ll turn it over to you before Q&A.
Martin Flanagan: Great. Thank you, Loren. And in closing, as you can sense, we remain very focused on providing strong long-term investment performance to our clients which has been the contributing factor to the continued positive flows within our business. And now our attention very much is on delivering the value of the combined business to our clients, and as Loren noted we are experiencing strong momentum across the firm. So with that, we’ll open up to Q&A.
Operator: Thank you. (Operator instructions). Our first question does come from Ken Worthington of JPMC. Sir, your line is open.
Ken Worthington – JPMC: Your guidance $80 million to $85 million of cost synergies, how much of the synergies were actually achieved day one of the deal, given the margin bump it seems like you’ve been pretty successful already in generating those synergies?
Loren Starr: Ken, I think, we are pretty well there. Obviously, we weren’t able to extract everything, but because we had moved the business over and effectively had all the synergies, most of the synergies baked in from day one, I’d say we have probably 70% or a little bit higher of the synergies captured at day one.
Ken Worthington – JPMC: Two, you’re generating an awful lot of cash flow now the deal is closed. You changed the terms of the deal to include more cash, but your stock price is still low and the valuation is cheap. I assume the priority is still to pay down debt, but would you consider purchasing the stock near-term based on the valuation and diverting some cash flow there?
Loren Starr: Again, I guess, we are always open to looking at the opportunity to deploy our capital obviously at shareholder value. I think, as we’ve expressed in the past, there is value in our minds to pay down the debt and build up some cash on the balance sheet, just given the uncertainties in markets. And I think everyone has sort of seen what volatile markets can do and having some cash on the balance sheet above what we’ve got right now is certainly a target of ours. If the stock price were to stay down for some period of time, we certainly would have that as one of things we’d be looking. But our capital priorities are still what they’ve always been, haven’t changed, and so we also do look at other opportunities to deploy our capital, which will include going on business and also acquisitions.
Ken Worthington – JPMC: Then, lastly, the alternative business saw redemptions during the quarter, can you give us a little more flavor about the redemptions?
Loren Starr: I am sorry, the redemptions in which area, Ken?
Ken Worthington – JPMC: The alternatives.
Loren Starr: Yes, there is really two things that drove that. You’ll see some of it in the passive category, so there is some commodity products that are ETFs that would show up there. There was about I think $2 billion of outflow or $1.5 billion of currency. It was really I think one of the products, was a currency product that’s showing up there. I think there was also roughly $1 billion of very low fee real estate, European real estate mandate that redeemed in the quarter that really would have very little impact on revenues. It was mostly based on transactional revenue in terms of where the profits were made, and I think that also would account for the bulk of that.
Operator: Our next question does come from the line of Michael Kim of Sandler O’Neill. Sir, your line is open.
Michael Kim – Sandler O’Neill: First, now that the deal is done, I think in the past you’ve talked about maybe seeing a couple of quarters, where retail flows take a pause as maybe the distributors go through their due diligence and your wholesalers are reorganized. But just given your commentary earlier, do you think you’ve maybe gotten a bit of a head start on that and so you might get through that process a bit quicker than expected?
Martin Flanagan: I don’t think so is the answer. Now that said, we are very, very geared up and spending time with the key platforms and distributors, and decision-makers to walk them thorough the transaction. I mean it’s a very serious process and we’re proceeding very well. We’re getting very, very good feedback, but it is going to take its national course which is going to be quarter or two. But we’re on path to do what we said we did and the feedback has been positive.
Michael Kim – Sandler O’Neill: Then, second, can you just give us a little color on the flows in the institutional channel and then what you’re seeing just more recently in terms of activity levels, just given kind of the step-up in market volatility?
Martin Flanagan: Maybe I’ll make a comment or two and then Loren can. So we are definitely seeing increased interest in the institutional channel. Real estate is becoming very, very popular, again that’s a big part of the pipeline. You’re seeing stable value also becoming very interested right now. But then other areas such as, bank loans are becoming global equity portfolio. So it’s becoming quite broad across the firm in the pipeline and I think is reflective of, just as you said, plan sponsors starting to get more engaged in their decision making. Loren?
Loren Starr: I think, obviously, the pipeline is much better than it was a year ago. I think it is probably significantly better. It is still improving quarter-over-quarter, where we’re seeing strength, 15% plus strength, but really focused on the products that we’ve talked about in the past, which should be the alternative products but also barbelled with some of the things like stable value products. So again, I think we are reasonably optimistic for the rest of the year that this is a still stabilizing and improving situation and one that we’ll benefit from.
Michael Kim – Sandler O’Neill: Then, finally, I know you reiterated your guidance on the merger-related attrition, but I just wanted to confirm that I guess some of the run-off associated with the recent international equity team that I guess got listed out, that was included in your original guidance, correct?
Loren Starr: I think, actually, that particular business was not included in our original guidance. I’m just trying to think which one. Actually, now I think it is. You got a very specific question there again, but I’ll tell you what, we’ll get back to you on that one, okay, because I don’t want to give you the wrong information off hand.
Martin Flanagan: Let me just make clear about your comment though. What happened, it was a duplicated investment team and what we wanted to do is make sure that they had a home, and so we worked with that team to create a home. So very, very constructive and the very reason why we did that was the team was a good team and we didn’t want client disruption, and we thought that it was the exact right thing to do. So there was no lift out or nothing along those lines. So I just want to make that point very, very clear.
Operator: Our next question does come from the line of Roger Freeman of Barclays Capital. Sir, your line is open.
Roger Freeman – Barclays Capital: I guess with respect to the $10 billion and the synergy flows you’ve been talking about, how much of that have you actually gotten notices for already?
Loren Starr: So, Roger, no, I think we originally have $10 billion number just to update you and then we changed the guidance to the $5 billion for the first year after the acquisition. There is nothing that’s been notified. It’s really more a forward-looking view given the fund mergers that we have an expectation that will take place as we clean up our product line up. So there isn’t a specific account or anything that we can point to as part of that. So again, it has a potential to be better than what the $5 billion is out there. But right now, given the markets, we’re still sticking by the $5 million.
Martin Flanagan: When it tends to happen, it would be after the mergers are announced. So I think between announcements and ultimately the merger date. So, that would be fourth quarter this year, first quarter next year would be if history is a guide sort of when that tends to happen generally. But again, it will happen as it happens.
Roger Freeman – Barclays Capital: Just in the discussions you’re having I guess on an ongoing basis with the distributors and them kind of using a quarter or two to evaluate the deal. I mean, what are sort of the specifics they’re looking for, I would guess retention of key investment professionals, returns, I mean, you’ve signed your key folks up for retention packages and you’ve delivered basically I think it sounds like 70% of sort of synergies, looks pretty stable. I mean, I guess what are the key points they are holding back on?
Martin Flanagan: No, they haven’t. So what are the communications with the distributors, that’s an overview of the combined organization, the depth and breadth of the investment capabilities, depth and breadth of the investment management teams performance, all of the same factors that that are normal along with communication of our ability to support their goals within their channels, and the broader deeper sales and support team is very, very important to them. So, it’s gone very, very well. So, the distributors as would know, they’re very talented, they are very thoughtful and they have a rigorous process that they would take any firm for themselves, it’s going extremely well. Again, they’re the client and they’re driving the bus, and so they’ll determine that timeframe, but it’s going very, very well.
Roger Freeman – Barclays Capital: Lastly, Loren, just the increase in equity income, I think, you said it was related to private equity returns, but is that just mark-ups on Wilbur Ross, your investments and a sponsor?
Loren Starr: Yes, exactly.
Roger Freeman – Barclays Capital: Was it realized or is that just markup?
Loren Starr: I think, those were realized. I think, those are actually realized gains that we’ve got.
Operator: Our next question is coming from the line of Michael Carrier of Deutsche Bank. Sir, your line is open.
Michael Carrier – Deutsche Bank: Quick question on, when I look at the retail part of the business and mostly with Van Kampen now, and you guys did a good job on the revenue side trying to break out the legacy business versus the new Morgan Stanley Van Kampen. I guess, when you look on the flow side, and particularly as it relates to the retail business, you’ve obviously seen a pick up on redemption side and sales in the industry just have been pretty sluggish. So I guess, it’s going be hard to do this, but just in the quarter, can you kind of strip out what’s related to what you see is more noise versus core and imply more importantly when you do look over the next quarter, two quarter, three quarters when do you expect some of the noise to start muting out and you have the products, your performance is solid, and then you’re able to take advantage of the distribution opportunity?
Martin Flanagan: Let me make a couple broad comments. It’s hard to answer specifically, but let me just typically what happens by June 30, I’m going to call it, the strength of the combined firm, just not practically going to happen in this (inaudible). Previously, you go through a diligence process and the like, it will literally in my mind two to three quarters by the time you communicate the depth and breadth of the firm all the way down through the advisor channel, that’s just how long it takes it takes. It’s tens of thousands of advisors that you need to get in front of them and discuss why they are the depth and breadth of the firm. So the noise as you talk about it, the fund flow stuff, we’re trying to put a date out there. So as soon as the fund mergers are done, which we expect to be nine months to 12 months after the close that will be the noisiest period taken out of the system and reason why we say nine months to 12 months is there’s a shareholder vote, we can’t control that. So, we are very much on track with everything we control, and so it’s just an ongoing process. But what you’re seeing right now, again it’s very hard to separate market sentiment from parsing sort of a normal course. If you talk to advisors, literally from that May period, it wasn’t such a redemption topic that drove outflows. It was sales just dropped like a rock, people just froze. So, that is really what you’re seeing. Now, it’s really the normal process of people coming back through difficult markets determining when are they going to get back, engage, and take some exposure to the equity market. So, we have two very strong factors happening at the moment.
Michael Carrier – Deutsche Bank: Then Loren, just on the expenses, if we just take the one month for Van Kampen and we can quarterlies that or what everyone say. But if you look at that $400 million and do that, there were few items like on the severance and comps that you mentioned. I just want to make sure like going forward, any other items that you felt like stood out in the quarter that wouldn’t be core or is this a pretty good run rate except that severance number?
Loren Starr: I think it’s a pretty good run rate. Obviously as you said, multiply the one month by three, so there is seasonality. Obviously, that occurs first quarter and those types of things that we always talk about, but there is nothing exceptional that we haven’t called out and that I think I need to bring to your attention.
Operator: Our next question does come from the line of Craig Siegenthaler of Credit Suisse. Sir, your line is open.
Craig Siegenthaler – Credit Suisse: Just on the $5 billion forecast in that flow to synergy again. Can you talk at all about the expected geography for the plan redemptions and also timings, so really which channels could be impacted which products? Maybe should we think about this being more front-end loaded over the next 12 months rather than back-end loaded?
Martin Flanagan: Yes, Craig, it’s again very hard to do it at that level. Right now, we’re now in the typical process of fund by fund analysis and again, we had to go through the fund boards to get their support and approval, and open to shareholders. But the work that is done is based on some real experience that we have. So we’re just not pulling something out of air, but the channel that it comes from is largely the retail channel, it is mutual funds and it buys or sold channel products, so that’s where you’re going to see it. As I was mentioning, if history is a guide again, after you announce the mergers which would be probably into maybe the fourth quarter from that period almost till closing is when you see the redemptions. That’s why I was saying largely I think you’ll see them fourth quarter, first quarter next year would be the timing of it. I wish I could tell you how much when and what day, but just don’t know.
Craig Siegenthaler – Credit Suisse: Then just on the performance fees. The U.K. Perpetual businesses performance has really picked up the last few months here and also you have, it looks like I guess, some realized gains in the Wilbur Ross business. Can you talk about if there is any ability to really improve this performance fee level meaningfully in the back half of the year with those drivers, but also Invesco used to have over $50 million of performance fees a year? When can we get back towards that level too?
Loren Starr: Well, again, the performance fees in the fourth quarter have been largely focused on U.K. products and so the answer will really have to do with what the one-year numbers look for the U.K. At that point in time, obviously, the three and five numbers are quite strong. Again, so it will be performance-based. Is there a chance that we could see some performance fees? Yes, I mean there is. But again, I think that general guidance that we’ve provided right now is, it’s probably that would be a bit of bet that we’re going to get there in time to realize that performance fee. Longer-term, absolutely, we could see those things come back, but certainly for the near term we’re still on our planning right now. That we’re going to see a large performance in the fourth quarter from the U.K. even though I grant you their near-term performances really come back very strongly. Beyond that, there aren’t there many assets that have performance fees. The emerging class of product that would have performance fees would be some of the Wilbur Ross products, because they have carry associated with them. Again, in terms of the carry that we would get, it would be on the newer funds and on the funds that were launched after October of 2006, and that’s really Fund 4 and any future funds. We’re not quite at the point where we’re I think seeing realizations on those particular products. The gains that we took weren’t related to those products, they were related to other Wilbur products. So, again, I just want to make sure you don’t assume that we’re starting to see a lot of carry coming through some of those products yet. It’s too soon. So again, we do think that some of the performance fees you may have seen in the past also came from a quantitative group and so there is a potential there that we could see those come back, but right now given where the performance is, it’s not part of our planning that we’re going to see that come back this year. So again, hopefully, that helps you, again sort of to give you a sense of where they can come from.
Operator: Our next question does come from the line of Bill Katz of Citigroup. Your line is open.
Bill Katz – Citigroup: Thank you. Just wanted to come back to slide #18, if we could for a moment. Loren, you mentioned before there that were some noise in some of the annualized numbers. Can you highlight exactly what those are and then, am I correct in that based on the answer to prior question? You still have about 30% of the $80 million to $85 million of annualized sales to be realized. I’m still trying to reconcile the fact that your operating profits are $9 million to $14 million under water relative to the September ‘09 run rate against your thoughts that you are running ahead of plan?
Loren Starr: So again, in terms of the one month numbers for the EnCap, and I guess the point that I was saying was more of a conceptual one about noise. I mean I think we’re not at the point where we can go and drill down on the month's worth of the expenses and say what’s unusual based on travel patterns or other thing. I’m just saying that take these in with a grain of salt. This is just sort of informative as opposed to a detailed reconciliation. In terms of where the synergies are, again, the fact that we’re saying that we’ve achieved 70% of the run rate on the synergies they won I think is probably good in terms of where we want it to be. We hope to get the rest through the course of the year. So I think that means in my mind that we’re on track and obviously we just brought the business over, so we have a little time to move and get the rest of the synergies. So I guess in terms of your last point, Bill, I’m not sure if you’re saying that you think we’re not on track or…
Bill Katz – Citigroup: Well, it’s just the way to slide reads, its $9 million to $14 million variance relative to the initial run rate. I was just trying to box that against the incremental savings still to be had?
Loren Starr: Yes, again, it’s just one month of data, so I view that as close enough in terms of where we expected it to be just to give the people a sense that we’re on track.
Bill Katz – Citigroup: The second question is, just in terms of Wilbur Ross, I think there has been sort of some expectation that he might be close to raising his fifth Recovery Fund. Just wondering if you could update us where we stand on Wilbur Ross IV perhaps, WLR IV, and maybe the timing for a potential new raise?
Loren Starr: Well, in terms of Fund IV, I think we are sort of not quite at the full 75%, but we have a pipeline of investments that eventually I think will clearly get us over the 75%, which would allow for future fund raise. In terms of Fund V, again we’re not at this point able to talk about this fund launch given the private placement rules, we really would not want to be commenting about size or anything of that nature.
Operator: Our next question does come from the line of Cynthia Mayer of Bank of America/Merrill Lynch. Your line is open.
Cynthia Mayer – Bank of America/Merrill Lynch: Apologize if you’ve covered this already, but if you look at page six, the institutional flows dropped pretty precipitously if you back out the large passive mandate. If I’m looking at that correctly, maybe I’m not, is there anything going on, on the institutional side that would lead to that in particular? And also could you maybe give a little detail on the passive mandate itself, what type of assets those are and what the fee is?
Loren Starr: So in terms of the decline in institutional mandates, I think, we mentioned one at least. There was a very low fee. Real estate mandate, it was about $1 billion it was virtually no fee. And so I know in any event that was one part of it. Other parts, I think, it’s a variety of smaller mandates, so it is really nothing I can point to explicitly. The real estate one was by far and away the biggest element. In terms of the institutional mandate that came over, we don’t talk about specific fee relationships on single mandates other than sort of the guidance that we set, it’s sort of a low fee mandate, but again it’s one that we were pleased to obviously have received as part of this deal.
Cynthia Mayer – Bank of America/Merrill Lynch: Just on that mandate, was that gotten as sort of an ordinary RFP process or is it really more sort of acquired assets?
Loren Starr: Well, it was not acquired, and Cynthia, we certainly had no intention of buying it. It came over really based on the strength of the relationship of the Japanese team with the client. It was previously served by Morgan Stanley, and so it came over to us based on that and I wouldn’t call it necessarily an RFP but there was certainly a diligence process that took place.
Cynthia Mayer – Bank of America/Merrill Lynch: Maybe if you could just sort of give us your outlook on the money market business and how you see fee waivers from here and flows?
Martin Flanagan: For us Cynthia, again we don’t have fee waivers just because of the pricing of our products. So, that’s being fortunate for us as an organization. Just from the asset class generally it’s still strong believe, this is very, very good strong vehicle, serves a real purpose, and I think just looking at the level of assets in the money fund business with the current rate structures would conclude something is very positive there. I think there’s the outlook for growth, it’s going to largely be driven by change in the interest rate environment and I don’t think any of us are counting on that at the moment. And I think, structurally, there is a round of changes that went through the industry, we all think they were very, very positive. There is continued discussion of what are all the changes that need to be made have they have been made and that dialog continue to be open. But in total, we think, it’s a very good asset class, but don’t expect it to be growing until the interest rate environment change.
Operator: Our next question does come from the line of Daniel Fannon of Jefferies. Sir, your line is open.
Daniel Fannon – Jefferies: Loren, could you let us characterize what the kind of normalize cash flow generation for the company is if you include a full contribution for Van Kampen just assuming. If you were to have it included for the full quarter, what do you think might be a normalize level?
Loren Starr: I mean, I guess, quarter-to-quarter there’s such a variety of things between tax payments and other things, I mean, it’s sort of an annualized view, when we look out with the full year behind us. We think that $900 billion of free cash flow generation is the number that we get when we do the modeling. That assumes kind of normal equity markets and it is of general continuation of positive investment performance and so forth.
Daniel Fannon – Jefferies: And then on a leverage basis, or if you can think about your debt levels, what would you like to get back to, what do you feel most comfortable at with that kind of backdrop?
Loren Starr: Well, our expectation is that we pay down the credit facility. Right now, we have about $650 million that’s borrowed against that, and that would be kind of one element in terms of debt reduction. Beyond that, we have no stated plans or further kind of thinking about further reducing debt or adding debt for that matter. As we feel comfortable with our situation right now, we have expressed certainly some desire to raise some more cash. We like to have somewhere around $800 million to $1 billion of cash on the balance sheet. Just generally, we think that that’s prudent to have a reserve when needed and not be reliant on capital markets when we need cash.
Daniel Fannon – Jefferies: Then switching to the UIT products. Can you help us understand a little bit about the fees associated with that and what your outlook is for growing that products, as it seems you had a good month in June. Is that one-off in nature or how are you thinking about that product going forward?
Loren Starr: Again, $5.5 million which we associated with the UIT business in the months is a reasonably high number in the sense of historically it’s probably a little bit higher than the norms. If you were to look going forward, would it be more of $5 million or $4.5 million, you know somewhere in that range. Probably, if you were to ask UIT folks, what they would say is a normal sort of run rate for them. Again, the way it works it’s a little complicated because of different fees and revenues based on what type of UITs you are generating, whether they are fixed income or equity. So, again, it would probably take more time than you probably want, and I have to go through exactly how worse. But the revenues are generated upfront on the sales, so they are not really based on ongoing management fees and the margins are very healthy with that business. It’s a very profitable business.
Operator: Our next question does come from the line of Robert Lee of KBW. Sir, your line is open.
Robert Lee – KBW: I am not sure what questions you’re going to have this afternoon. A couple of questions. First one, this is severance and comp you mentioned that was related to the continuing reshaping or re-distribution platform. I am assuming you meant the institutional platform. Are we pretty much at the end of that? You think you have there where you need to be or can we expect a little bit more of that going forward?
Martin Flanagan: Rob, I think the bulk of it is took place this quarter. I think there is still some more work that’s anticipated, but, I think the majority of the cost associated with it I think has been realized this quarter. It’s been an ongoing process. It didn’t lap in just this quarter. I think it has been process that’s been going on for a several quarters and it’s one that we feel really good about in terms of the benefits it will bring to the firm.
Robert Lee – KBW: Maybe shifting gears a bit to the ETF business. I gather this quarter had some outflows, but could you maybe talk more broadly about that business. It certainly seems like competitors are popping out of the woodwork every day. As you look forward, where do you really see some of the opportunity for you to differentiate yourself? If I call it white label type products. I am just trying to get a sense where you see yourself differentiating from the increasingly crowded fields out there?
Martin Flanagan: I’ll need to say, we’re still very positive on the ETF business. Stating the obvious, right, it’s a growing business. It’s finding its place in the market with its advisors, in addition to portfolio managers and alike. So, our place has not changed, right. We are not trying to be sort of me to passive ETF provider, that space has been taken and again everything is in index, but again, you can create these indexes around investment processes and alike. So, it’s really the value-added ETFs and we think that’s going to continue to be a growing part of the business, and we’re very committed to it. From a strategic point of view, though, probably many, many people are trying to get into the business differently than a mutual fund, where you can pick a number, 200 of the same mandate mutual fund. That really is not possible with ETFs. Because you need a market maker and capital has to go about and so you really can have maybe a couple three, possibly four-like designed ETFs. So I think there is limited shelf space. Ultimately, I think that’s one of the other attractive things to that business. But we’re very pleased with where we are with the ETF business and we’re getting more and more traction. We’ve had some early success in Canada and we see other parts of the world where we will continue to make an impact.
Robert Lee – KBW: I mean there has been some price competition and more in the kind of plain vanilla part of the business. I mean, do you see that creeping into the segments that you compete in?
Martin Flanagan: Less so, I mean for obvious reasons. I mean I think it’s just very typical whether to ignore the structure whether it’s ETF or the institutional separate account or the like. Where do you get the fee pressure? The greatest fee pressure tends to be in the area that tend to be like the passive-type mandate, so the more value you offer, the higher fee you can justify and that’s been the case so far.
Robert Lee – KBW: One last question. Probably, I too wanted a chance to go through, but your initial thoughts on the 12b-1 fee proposal is relatively benign for the fund industry. Do you think that there is big impact one way or the other? I mean what’s your initial take?
Martin Flanagan: I think it’s been ongoing dialog with regulators for last number of years and I think so what was proposed is really no surprise to the industry is very much along the lines with what the SEC was working on. There are some elements that are positive I think in it. We are just naming conventions and also getting the directors out of a process that to approve something which it was a difficult thing to do. If you look at where the bulk of the industry sales have gone with the 25 basis point service fee, I don’t think you’re going to see a tremendous impact. There are some real operational challenges I think you’re going to see coming out of the comment period, I just don’t know that what’s being suggested can be done on any short period of time. So, that’s one topic, but it will be interesting to see what happens through the comment period, but I don’t see a tremendous shock to the system with this. I think, it’s pretty consistent with what people have been thinking.
Operator: Our next question does come from the line of Marc Irizarry of Goldman Sachs. Sir, your line is open.
Marc Irizarry – Goldman Sachs: Just a question on the fee rate, it’s maybe bouncing around a little bit, but it looks like the 50 basis point fee rate for Van Kampen is a bit higher. As you clean up the product line-up for Van Kampen, what impact should we expect that to have on the fee rate, maybe you can just comment broadly on just the revenue realization rate?
Loren Starr: Marc, I think it should be largely neutral. Obviously, it will depend ultimately on which funds we merge into, which are those funds and the matching up is still a process that we need to go through a dialog with the fund boards ultimately and once we get those understood, I’d be able to answer more fully. Obviously, it’s our expectation that it’s going to be fairly benign in terms of how the two fund ranges come together from a fee perspective, and obviously a positive ultimately for flows and certainly other expense ratios.
Marc Irizarry – Goldman Sachs: And then Marty, just a question for you on U.S. versus non-U.S. retail investor behavior. Could you just comment a little bit on what you saw in the past quarter and is there something worth noting overseas versus the U.S. in terms of what you see now from retail investors?
Martin Flanagan: Yes, I think, it was pretty similar experience, the feedback we had in different parts of the world too. I mean people were and maybe a little more in the United States, I think you had a combination of the states, and call it, the Greek ‘debt crisis’ along with flash crash, it really sort of struck investors in talking to different advisors and their volume just dropped dramatically. And as I mentioned earlier, it wasn’t so much a redemption thing, it was just stopping of sales or investments. And so that’s probably a little more difficult here, but you did see a slowdown in other retail markets. And again I’d still say investor confidence at an individual level is still wanting to take greater exposure, but very, very fickle and nervous at the moment.
Marc Irizarry – Goldman Sachs: Interesting and then on the institutional side, are there consultants that you are on watch with now that you’d expect, you know now if the deal is closed, and that they will be able to sort of revisiting of those consultant ratings, if you will?
Martin Flanagan: It’s a different process really and we’ve been having the conversations with the consultants and they are just very focused and aided the topic with every one of them, but we’re on a go forward basis with the vast majority of them. So for us, it’s really just building deeper success with their consultant channel.
Operator: At this time, we show no further questions.
Martin Flanagan: Okay. Thank you very much. Thanks for everybody’s time and we’ll probably see a number of you this afternoon and look forward to that. Thank you very much.